Operator: Hello and welcome to today's Lindblad Expeditions Holdings Inc. 2022 Second Quarter Results. My name is Bailey and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end.  I would now like to pass the conference over to Craig Felenstein, Chief Financial Officer of Lindblad Expeditions. Craig, please go ahead.
Craig Felenstein: Thank you, Bailey. Good morning, everyone, and thank you for joining us for Lindblad's 2022 second quarter earnings call. With me on the call today is Dolf Berle, Lindblad's Chief Executive Officer. Dolf will begin with some opening comments and then I will follow up with some details on our financial results and liquidity before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website. Before we get started, let me remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecasts or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures, and other associated disclosures are contained in the company's earnings release. And with that out of the way, let me turn the call over to Dolf.
Dolf Berle: Thanks, Craig. Good morning, everyone. And thank you all for joining us today. In today's call, I look forward to sharing our progress and ramping the company back to full operations, giving you a picture of how we are navigating short-term challenges in our business environment, updating you on the progress we are making across the company in several business functions and with our land companies and articulating why we're quite optimistic about the future for Lindblad Expeditions. Without question, the biggest highlight from this past quarter was operating all 10 of our ships on itineraries across the globe. With the return of the National Geographic Orion to service in French Polynesia, Q2 marked the first quarter where every one of our ships carried guests since the pandemic struck in March of 2020. I want to thank the many talented leaders on our ships and across our offices who worked hard to bring all the ships back to voyaging in this last quarter. In addition to the Orion, our other blue water ships, the National Geographic Explorer, Endurance and Resolution, all followed up their successful Antarctic seasons, with robust voyages across the Arctic and Europe. At the same time, our U.S. flagships, the National Geographic Venture, Quest, Sea Bird and Sea Lion, which spent the winter primarily in Central America and Baja California, made their way north and returned to exploring the Pacific Northwest and Alaska. Lastly, our Galapagos ships, the Endeavour II and Islander continued to ramp occupancies as more and more guests returned to travel. particularly gratifying are the stories of guests whose spirits are nourished and elevated from their interaction with the natural beauty of the remote places we visit, the abundant wildlife whose habitats we are striving to help protect, and the indigenous peoples and cultures with whom we partner in communities across the world. It is worth noting that we have released a full schedule of offerings with over 100 itineraries across all seven continents for 2023 and beyond. This set of offerings puts on full display the capability of the company and we believe will be compelling for both our longtime loyal guests, as well as the many new guests we are attracting with the omni channel marketing approach we have been honing and which I will describe further in a few minutes. I would characterize Q2 as a quarter where we saw on balance improvements in the reduction of impact that COVID has been having on our business, the removal of the airline requirement for a negative COVID test for these passengers, for those passengers returning from foreign countries. And then lifting of the mask mandate for the airlines sent a strong signal about the safety of travel to consumers and removed a stress point for travelers. While both of these developments will certainly help drive bookings over the long-term, we did see a rise in COVID cases at times among our guests and crew, albeit predominantly with mild symptoms. When cases do arise, our crew is well trained to handle those circumstances and we diligently follow appropriate protocols. The safety of our crew and guests remains paramount for us as we return to providing our signature high quality, authentic and immersive experiences. We will continue to evaluate and amend our protocols as necessary. While nearly all of the geographies in which we traditionally operate have reopened, there are currently two exceptions. The first we discussed last quarter and that is the voyage is impacted by the Russia, Ukraine conflict. There were eight voyages that had to be rerouted impacting over 500 booked guests while creating some short-term headwinds, the good news is as of this point, we have successfully re-booked 72% of those guests on other voyages between 2022 and 2023. The other close destination is Japan, which resulted in the need to reschedule five itineraries on the National Geographic Resolution. As a result of ongoing cruise ship prescriptions -- restrictions there, we are limiting the use of the resolution in the third quarter and instead we'll be repositioning her earlier down to Antarctica, so she can enjoy a longer season in one of our most successful geographies. There were nearly 300 guests impacted by the change in itineraries, and thus far, we have retained close to 70% of them between 2022 and 2023. The high guest retention rates we have maintained while shifting itineraries speaks to the flexibility of our operations, and the desire of our loyal guests to explore. Despite the short-term impact of these itinerary changes, we are well positioned to continue our momentum moving forward. From a booking trends perspective, we continue to see strength in the latter half of 2022 and into 2023, with bookings for 2023, 26% higher than at this same time in 2019 for 2020 prior to the pandemic. As we look to further drive bookings for both the short and long-term, we have been refining our approach to what we call our sales funnel, and there are a few important changes I want to mention. First, after substantial investment in our digital marketing capability over the last year, we have coupled our paid and earned digital marketing strategies with our traditional mail and email campaigns to create what I would describe as a balanced omni channel marketing approach. As you may recall from previous earnings calls, our company is investing in an overhaul of our booking system, website and CRM capabilities and this work continues to progress with a transition to the new Seaware booking platform anticipated by the end of the year. We're finding that our digital efforts are particularly effective in attracting new guests to the company. We're also excited on the marketing front to welcome Noah Brodsky as our new Chief Commercial Officer. Noah brings deep experience in the travel industry having served in leadership positions at Travel + Leisure, Wyndham Hotel Group and Starwood Hotels & Resorts. Noah is a known innovator with great passion for creating remarkable guest experiences, and he will be responsible for all revenue generating activity in the company including sales, marketing, and partnership functions. We're excited to have him as part of our leadership team to help us realize the full potential of our platform. Another exciting operational development is the upgrade work we have been undertaking on the Islander II. We're nearly finished and look forward to her launch in late August when she will begin hosting guests in the Galapagos. This all suite ship has been revamped with a focus on providing the ultimate expedition experience, and we are very excited for guests to enjoy all that she has to offer in one of the world's most remarkable destinations. In the midst of our operational progress and marketing momentum, there are some ongoing challenges we continue to manage against in the macro environment. As we have previously discussed, fuel costs have continued to increase dramatically with pricing up over 110% from 2019 levels. Additionally, managing global supply chain channels has increased shipping costs and driven costs up for certain goods, which we are minimizing by working closely with suppliers and sourcing even more locally when advantageous. Lastly, recruiting and retaining crew predominantly on our U.S. flagships has been more challenging than usual, given marketing dynamics, but we have been able to ensure that we had the numbers and quality of crew which are so fundamental to our operations and the Lindblad guest experience. Turning to our land based business, another bright spot in Q2, the combination of natural habitat Off the Beaten Path do, Cycling and Adventures and Classic Journeys delivered positive EBITDA for the quarter, as travelers embraced the opportunity to return to exploring U.S. National Parks, biking through Italy and France, and walking tours across Europe. As I have shared in the past, the strategy as we develop these companies is to provide our guests across the full complement of Lindblad companies with a compelling one stop shop for their adventure travel needs. We are excited about what these companies will do individually with the support of the shared services that we are creating in the broader company. And also excited about the future potential we believe can be unlocked through cross marketing between our family of companies. With momentum across all facets of our company, we are quite optimistic about the future. The world is almost fully reopened, and guests are ready to travel again. Our offerings are on trend for guests who are prioritizing adventure and meaningful experiences in their lives. And this provides some tailwind in our business. While the challenges are not over. We are experiencing them as less severe today than in the recent past, and our team has become adept at handling them. The passion on this team for our guests experience and the leadership role we play in the movement to sustain the natural ecosystems and indigenous peoples cultures in the places we visit are the foundations upon, which all of the rest of our work is built. Our entire team is excited to welcome a growing number of guests back to exploration as our momentum builds. And now, I'd like to turn the call over to Craig.
Craig Felenstein: Thanks, Dolf. As we continue to quickly ramp operations having all 10 of our own ships once again providing unforgettable experiences to our guests is an important step towards realizing the full expanded earnings power of our company. This milestone would not have been possible without the sustained hard work and dedication of our teams across our fleet and office. And I would like to once again thank them for their remarkable efforts. Strategic steps we have taken over the last several years to expand our fleet capacity and diversify our product offerings has significantly increased our earnings potential from pre-pandemic levels. At the same time, the financial diligence we have employed should allow us to weather any short-term uncertainties as we further ramp operations. We ended the second quarter with $127 million in unrestricted cash and $49 million in restricted cash, primarily related to deposits on voyages that originate in the United States and credit card reserves. The $176 million of total cash decreased $9 million versus at the end of the first quarter. Cash generated from operations was positive $15.2 million driven by earnings at the ship level and significant guests payments for upcoming voyages and deposits for future travel, partially offset by the cost associated with further ramping operations and marketing spend to drive future bookings. The positive cash from operations was more than offset by principal and interest payments of $8.4 million and a CapEx spending of $16 million, including approximately $11 million of growth CapEx primarily related to the renovations on the National Geographic Islander II headed for August launch and spending on our digital initiatives. Turning to the P&L, as anticipated our financial performance continue to improve with the second quarter EBITDA loss reduced to $6.2 million as compared with a $23 million EBITDA loss in the second quarter a year ago, and the $21.2 million loss during the first quarter of 2022. The improvement was driven by the ramping operations which increased revenues to $90.9 million versus the $15.3 million in the same period a year ago, and as compared with $67.9 million in the first quarter of 2022. Revenues were also up 19% from the second quarter of 2019, due primarily to higher pricing across both new and existing capacity. The current quarter included $64 million of revenue at the Lindblad segment from operating ships predominantly in the Arctic, the Galapagos and Alaska, and $26.9 million at our land experiences segment led by Natural Habitat and Off the Beaten Path trips to Alaska and U.S. national parks, DuVine's bike tours in Italy and France, and Classic Journey trips in Europe and Latin America. Revenue in the quarter did face headwinds from guests who opted to reschedule their trips to the Omicron variant late last year and early this year, and most recently due to a rise in COVID cases globally. While we are seeing higher cancellations for future travel related to the recent COVID surge, the majority of these guests have rebooked for future travel and the company's forward booking position remains strong as Dolf discussed. Bookings every week continue to exceed bookings in the same week in 2019. And there is no question that there is significant pent-up demand to get out and explore the world's amazing geographies. Ramping revenues this past quarter was partially offset by an increase of $59.4 million in operating expenses before depreciation and amortization, interest and taxes versus the second quarter a year ago. The higher cost base was led by a $43.1 million increase in cost of tours versus the same period a year ago, primarily related to the ramp and ship expeditions, which included higher fuel costs due to increased pricing and usage. The increased cost of tours also included spending, as we prepared additional ships for operations and expenses related to operating additional land base trips. Sales and marketing costs increased $7.9 million versus the second quarter a year ago, primarily due to higher commissions related to the increase in revenue, and from increased search and direct mail marketing to drive future bookings. We have also further ramped up spending on our digital initiatives, including additional development of our new reservation system, which is scheduled to launch later this year. G&A spending increased $7.9 million excluding stock-based compensation and one-time items versus the second quarter a year ago, primarily due to higher personnel costs as we ramp operations and increased credit card commissions related to final payments for upcoming itineraries and higher deposits on new reservations for future travel. Total company net loss available to common stockholders in the quarter was $30 million or $0.59 per diluted share versus net loss available to common stockholders of $36.6 million or $0.71 cents per diluted share reported in the second quarter a year ago. This $0.6 million improvement reflects the ramping operations partially offset by $3.7 million of additional interest expense associated with higher rates and increased borrowings primarily related to the delivery of the National Geographic Resolution in September 2021, and the debt refinancing in February 2022. The current quarter also includes a $3 million increase in depreciation versus the same quarter a year ago, related primarily to the launch of the resolution in September 2021 and accelerated depreciation on the National Geographic Islander, which is being replaced later this year. Looking ahead, we expect to continue to ramp operations through increased shift utilization and additional trips across both our ship and land based operations. We anticipate returning to profitability in Q3 despite the increased cancellations and rescheduling of voyages, due primarily to the Russia Ukraine conflict and operating restrictions in Japan. While we still have to navigate around a few geographic limitations, much of the world has reopened and the key strategic advantages we have built, most notably the size of our shifts, the remote locations we operate in, and the relationships we have cultivated globally over the last four decades, have enabled us to ramp our operations quickly and effectively. Our guests are once again experiencing the thrill of exploration and the feedback has been overwhelmingly positive for both new and returning guests who have been unable to travel as they would have liked over the past two years. While there were likely continue to be short-term choppiness we have ample liquidity to weather any immediate headwinds and with a strong booking position moving forward along with an expanded fleet and a broader set of product offerings. We are well situated to build upon our results prior to the pandemic and capitalize on the growing demand for authentic adventure travel. Thank you for your time this morning. And now Dolf and I would be happy to answer any questions you may have.
Operator: Thank you. . Our first question today comes from the line of Steve Wieczynski from Stifel. Please go ahead. Your line is now open.
Steve Wieczynski: Yes, hey guys, good morning. So I want to ask about the book position for '23. I understand your book position is still just 26% ahead of where you were in 2019. But I guess that actually slowed a little bit from your last update back in May. So trying to understand what drove that sequential slowdown or is there anything that we were missing that would have caused that sequential slowdown? And then also want to ask about near term bookings. And have you guys witnessed any positive impact over the last couple of weeks given the CDC essentially removed the cruise industry from their so called watchlist?
Dolf Berle: Sure. Thanks, Steve. So, a couple of reasons for the booking trends that you're seeing. So I think it's important to note that the booking trends, the actual bookings coming in the door, when you look at it, really since the middle part of January, has been really strong when you compare it to 2019. And in most weeks, it's been up well over 20% or 30%, versus where we were back in 2019, for 2020. So really strong trends. And that has really been consistent. Like I said, since the start of the year, what's changed a little bit, recently has been cancellations. And there's really been two reasons for that. The first has been some people have decided to push early bookings for the early part of next year to later because of some of the increases in the COVID cases that we're seeing. But the really big change has been, we've had still had a bunch of our guests booked for Russia voyages in 2023. And we are going to change those voyages. And we've already started to change those voyages to other itineraries. But some of those guests are now being cancelled before they go ahead and decide what they want to do for 2023. So it's really that anomaly of taking those guests who had Russia Ukraine trips, sorry, Russia, Far East trips booked for the third quarter of 2023 off the books, and they're not yet back on the books to where they're going to travel in 2023. So that's the primary driver, the other driver really is, we've had such a strong booking trend for many, many months, that a lot of the itineraries that in 2019 we're still taking on more guests are now full in 2023. So there's a little bit of that what I would say is natural hurdle that exists for 2023, which is kind of also adding to the fact that there has been a little slowdown year on year when you're looking at the absolute dollars in totality. In terms of the short-term booking trends, what we're seeing, actually, aside from the increase in cancellations that we're seeing a little bit in the next few months because of some of the rising COVID cases, I always feel odd saying cancellations because it's really just people pushing their voyages from, say, 2022 into 2023, or 2024. But aside from that, we did see a nice uptick when the CDC changed its rules, or sorry, the rules changed with regards to testing requirements having to come back into the United States. So that was a nice tailwind for us, which is great. But we're also seeing now is actually shorter term bookings are higher than they normally would have been. So we're seeing more bookings for the next six months than we traditionally see for a six month forward looking period, because I think people are seeing an opportunity to get out and explore now again, given the current rules. So that's kind of the  we're looking today.
Steve Wieczynski: That's great color. Thanks guys. Second question would actually be about your liquidity position. I know, Craig you noted I think in your prepared remarks, you reference this being strong and you guys don't really have any near-term maturities? I guess that would, there would be concerning. I guess I'm wondering, how you think about our liquidity position, I mean obviously, there's a fear out there, the economy is going to slow, the consumer slows down, do you still feel like your liquidity position would be in a pretty good position, even if we did go into some kind of larger type session and I guess maybe what might be helpful just to remind us how the business held up during the last recession, or so if that, if that makes sense.
Dolf Berle: Sure. So when I think about the liquidity position of the company, given that we have $176 million of cash, given that we're seeing substantial deposits and final payments for future travel, given that all the ships are back in the water and operating, I feel pretty good about where we are from a cash perspective today, assuming that current trends continue. So that that gives me confidence. I also have confidence when you look back to 2008, and 2009. And granted it is a a very different time, and things have changed dramatically since then. But even back then at the height of the recession, the company's occupancy levels, at the time were around 85%, and they dropped to somewhere around 75%. But the company remain profitable, the company didn't have to do a significant amount of discounting, they discounted a little bit to keep occupancy levels high. But there wasn't a lot of that. And the company bounced back really quick, within nine to 12 months, we were back to operating at full level. So I feel pretty good about the fact that we'll be resilient in terms of -- if there was any kind of a recession. Obviously, our guests tend to be more affluent than most and they tend to want to travel. Not to mention, these are guests that have been I would say, as I said in my comments, unable to travel for a couple of years. So they really want to get out and explore now while they can. So we feel like we have some really good dynamics that would help us during a recession certainly will be impacted, but we feel like we'd be in good position to continue to succeed.
Steve Wieczynski: Okay, great. Thanks, guys. Really appreciate it.
Dolf Berle: Thank you.
Operator: Thank you. The next question today comes from the line of Tyler Batory from Oppenheimer. Please go ahead. Your line is now open.
Unidentified Analyst: Good morning, guys. This is Jonathan on for Tyler. Thanks for taking our questions. First one from me, I wanted to follow-up on that future bookings commentary. And look, obviously, you can't give guidance. But is it reasonable for us to assume that the future book position could possibly slow next quarter? And would it be a surprise if it goes from 26% to 24% for example, just from the normal heads and flows of the business?
Craig Felenstein: Yes, it's obviously a hard question to answer, because it really depends on what happens in the broader world right now. But if I looked at the last several weeks versus where the trends were going, it should improve from there from where we are today. So that's two weeks is not a trend to make, obviously. But the incoming bookings remain really strong. I think the question will be, what kind of cancellation levels will we see? And will we see these folks who were on Russia voyages for next year, make their decisions to book certain geographies and certain itineraries before the end of the quarter. Most of them will rebook with us. The question is when and if they do that over the next quarter, we should be, I think well situated for future success. If they don't, then there may be some unnatural headwinds in that area. But again, the way we feel pretty good about the booking strength of the company is when I look week-to-week, what's happening in terms of new dollars coming in the door. It's very, very positive.
Unidentified Analyst: Okay, great. Thanks for that color, Craig. And then, as you look at that future bookings position, is there any noticeable changes in terms of demographics, or the number of repeat guests compared to pre-COVID, or maybe more recent COVID times anything worth calling out there?
Craig Felenstein: Yes, the only real change that we're seeing right now, more than anything else is, I would say there's a little bit more direct business versus travel agent business, not much to really call out but a little bit more direct, it's a little bit more domestic today than traditionally would be, we're always very high on the domestic bookings versus international bookings. But it's a little higher than usual on the domestic side. And as I just mentioned earlier, it's definitely we're seeing more bookings in year for 2022 than we would see for example in year in 2019 for the rest of 2019. So people are now making their travel decisions for the current year, sort of are closer to travel, which is a positive. So those are the -- I would say the change in trends, we're not seeing much different with regard to the demographics in terms of age or anything like that, or in terms of repeat versus non-repeat, it's been pretty consistent here over the last six months.
Unidentified Analyst: Okay, thank you for that. And then last one for me, if I could. The recent addition to the offered itineraries, I believe they're called Epic voyages. Are those new voyages, the result of greater comfortability around longer cruise times now that we're moving further out from COVID fears or is it kind of a return to normal and just go into where the demand is?
Dolf Berle: I think it's, this is Dolf. It's a combination of the capability of these great new ships that are so comfortable, and all the accommodations that they provide. And also, I think a real interest in the way that we've marketed to the -- to consumers around these epic voyages that cross so many more latitudes, and actually showcase the fact that the ship itself is a bit of a destination. So it's those things that are really, I think making these voyages attractive. And as a practical matter, we like filling the ships as they traverse between the poles. And so it's a great advantage on our end to make sure that they're as full as possible as they go between the poles, which are there sort of most blockbuster destinations.
Unidentified Analyst: Very helpful. Thank you for all the color guys. That's all for me.
Craig Felenstein: Thanks, gentlemen.
Operator: Thank you. The next question today comes from the line of Alex Fuhrman from Craig-Hallum Group. Please go ahead. Your line is now open.
Alex Fuhrman: Great. Thanks very much for taking my questions. Wanted to ask about the commentary, Craig about being profitable in the third quarter. Is it your expectation that now that you're kind of close to getting over that profitability hump that Lindblad would be profitable on a quarterly basis from this point going forward? I know it's hard to give guidance for every quarter that this point out, but just given the normal seasonality of your business would that be kind of the expectation here as you layer that on with the post COVID reopening. And just what are the biggest variables? Is it near-term cancellations or postponements. Just wondering what are the biggest variables that would cause that to happen or not to happen?
Craig Felenstein: Sure. So let's kind of walk forward where we are today. So Q3 we mentioned, we certainly expect to be profitable, that would only change if there was a significant amount of cancellations for whatever reason over the next several months. Obviously, July has already happened. And we didn't see that. So it have to be over the August and September timeframe. I'll get to Q4 of 2022 in a moment. Certainly in 2023 throughout the course of the year, we're expecting a pretty normal year. The booking strength that we have today is very, very significant and it puts us in a really nice position. All the ships are supposed to operate their full itineraries. And the guests seem ready to get out and explore. So we feel 2023 should be a, if not normal year, certainly a year that will get us to start recognizing the full, expanded earnings potential of the company. The one quarter, that's going to be a little bit, I would say, wonky is Q4 this year. And that's partially because of what just happened with the resolution. So by moving the resolution from Q3 to going down earlier to Antarctica in Q4, we're now reselling or starting to sell these journeys for the first time. So we have a ship that is now at low occupancies right now for the end of the year, and which has started to fill up already, which is nice, but the level of which he fills up will be important. The other thing that traditionally happens in Q4 is it's traditionally not a very highly profitable quarter for us, because a lot of our ships are in drydock that quarter. Especially our U.S. ships, some of our Galapagos ships. So its traditionally not a very high profit quarter for us. So what I would expect is the Q4 profitability will be dependent on how well we can sell the resolution in her new itineraries, and what kind of cancellation levels we see between now and the end of the year.
Alex Fuhrman: Okay, that's really helpful. Thanks, Craig.
Craig Felenstein: Thank you, Alex.
Operator: Thank you. . The next question today comes from the line of Ryan Sundby from William Blair. Please go ahead. Your line is now open.
Ryan Sundby: Yes, hi, good morning. Thanks for the question. On the Lindblad side, Dolf, you mentioned that potential that can be masked from cross marketing and shared services there. Just given the strength we saw this quarter, do you feel like that's already starting to happen? And then within land was there any variation among the acquired businesses that stands out?
Dolf Berle: Well, first of all, I would say that there is some effect because what we've done is we've taken our marketing experts from across the businesses, shared best practices. And so I think the effectiveness of the marketing for the land companies is the next level from where it was in their past. And so that's been a positive. We're really seeing very positive momentum in each of those companies. But the standout is DuVine, Adventure and Cycles, bicycling you may know is really coming on strong. I think as a result of the pandemic in many ways where the interest in bicycling went up so much. And so we're extremely pleased with what's happening with DuVine, Cycling and Adventures.
Craig Felenstein: Yes, one thing to note, Ryan, just in terms of seasonality is when you think about Off the Beaten Path, and DuVine, and Classic Journeys, they tend to have their strongest quarters in Q2 and Q3, whereas natural habitat tends to be stronger in Q3 and Q4. As they get into their African season, and they get into their polar bear season. So you should see some nice profitability from the land based companies here moving forward across the board. And as Dolf mentioned, DuVine is doing really, really well certainly Off the Beaten Path with U.S. National Parks is having a good run here. And Classic Journeys is starting to ramp up well, as well. So we feel pretty good about all four are our land base businesses.
Ryan Sundby: That's great to hear. And then just Craig on the cost front. How should we think about some of the restart cost and the health and safety costs that you've had incur during the first half of the year? And when do we start to see that kind of come back?
Craig Felenstein: Yes, most of that has already I don't want to say come out. And there's still some minor costs associated with testing. There's minor costs associated with crew travel and quarantines and things of that nature. But there's not a significant amount of that cost still in the business. It was there in Q2 as we ramped up our remaining ships. You'll see some of that as you start to utilize these shifts more fully and more wholesomely that you should ultimately get more, a little bit of more startup costs involved here. But most of that is already out of the business. It's not to say it'll stay out forever, but we feel pretty good about getting back to a more normalized place. The biggest impact that we're seeing on the cost side today is really from fuel improve costs and more than anything else. Those I would say are the immediate headwinds, more so than the ramping costs associated with COVID when you look out to Q3 and Q4.
Ryan Sundby: Got it. Thanks guys.
Dolf Berle: Thank you.
Operator: Thank you. There were no further questions registered. So I'd like to pass the conference back over to Craig Felenstein for some closing remarks.
Craig Felenstein: Thank you, everybody, for joining us this morning. And if you have additional questions, please feel free to reach out to us and we look forward to maintaining the dialogue. Thank you.
Dolf Berle: Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your lines.